Operator: Ladies and gentlemen, thank you for standing by. My name is Colby, and I'll be your conference operator today. At this time, I'd like to welcome you to the CubeSmart Third Quarter 2025 Earnings Call. [Operator Instructions] I will now turn the call over to Josh Schutzer, Vice President of Finance.
Joshua Schutzer: Thank you, Colby. Good morning, everyone. Welcome to CubeSmart's Third Quarter 2025 Earnings Call. Participants on today's call include Chris Marr, President and Chief Executive Officer; and Tim Martin, Chief Financial Officer. Our prepared remarks will be followed by a Q&A session. In addition to our earnings release, which was issued yesterday evening, supplemental and financial data is available under the Investor Relations section of the company's website at www.cubesmart.com. The company's remarks will include certain forward-looking statements regarding earnings and strategy that involve risks, uncertainties and other factors that may cause the actual results to differ materially from these forward-looking statements. The risks and factors that could cause our actual results to differ materially from forward-looking statements are provided in documents the company furnishes to or files with the Securities and Exchange Commission, specifically the Form 8-K we filed this morning, together with our earnings release filed with the Form 8-K and the Risk Factors section in the company's annual report on Form 10-K. In addition, the company's remarks include reference to non-GAAP measures. A reconciliation between GAAP and non-GAAP measures can be found in the third quarter financial supplement posted on the company's website at www.cubesmart.com. I will now turn the call over to Chris.
Christopher Marr: Thank you, Josh. Happy Halloween, and welcome, everyone, to our third quarter call. It was a very solid third quarter for Cube, which resulted in guidance increases across our key same-store and earnings metrics. Across all markets, our existing customer KPIs remain strong with key credit and attrition metrics remaining consistent within historical normal ranges. We are continuing to feel diminishing headwinds from new supply as the stores placed in service over the last 3 years lease up and the forward pipeline continues shrinking. As evident by 2 consecutive quarters of improved guidance expectations, the year has played out a bit better than we expected, which we attribute to the lessening impact of new supply, a more constructive pricing environment during our busy rental season and the continued health of the consumer. We foresee continued gradual improvement in operational metrics. We are not anticipating a catalyst for a sharp reacceleration. We are prepared and operating under the expectation that the stabilizing trends as well as deliveries of new stores will vary by market. Market level performance was similar to what we have been discussing for the last couple of quarters. Top performers continue to be the more urban, Mid-Atlantic and Northeast markets. The East Coast of Florida is experiencing stabilizing trends and some of the sunbelt markets are still finding their footing. In summary, it's a slow, steady stabilization without a catalyst for rapid acceleration, just like we laid out when we entered the year. We've seen some better pricing power that started earlier in the year for the reasons I've previously shared, while overall demand levels are mostly stable, but not growing significantly. It takes time for improving fundamentals to flow through to revenue with only 4% to 5% monthly customer churn, and this was the first quarter since Q1 2022, where move-in rates in the same-store portfolio were positive year-over-year. Assuming these stabilizing trends continue through the end of the year, we should be on improved footing heading into 2026. Now I'd like to turn the call over to our Chief Financial Officer, Tim Martin, for his commentary.
Timothy Martin: Thanks, Chris. Good morning, and thank you to everyone for taking the time to join us today. For the quarter, we performed in line with our expectations, reporting FFO per share as adjusted of $0.65. Same-store revenues declined 1% compared to last year with average occupancy for our same-store portfolio down 80 basis points to 89.9%. Same-store operating expenses grew just 0.3% over last year, again, reflecting our keen focus on expense control. We saw favorable year-over-year variances in utilities expenses and in property insurance following our successful renewal back in May, which we discussed last quarter. So negative 1% revenue growth combined with 0.3% expense growth yielded negative 1.5% same-store NOI growth for the quarter. From an external growth perspective, we're starting to see a little momentum here late in the year as we're under contract to acquire three stores in the fourth quarter. We also completed and opened our joint venture development in Port Chester, New York during the quarter and are scheduled to open our project in New Rochelle, New York during the fourth quarter. On the third-party management front, we had another productive quarter, adding 46 stores to our platform, bringing us to 863 stores under management at quarter end. On the balance sheet, we successfully completed our issuance of $450 million of 10-year senior unsecured notes on August 20. The offering has a yield to maturity of 5.29% and was our first time back to the market in 4 years. We were delighted with the execution and delighted with the support we received from our fixed income investor base. Our 2025 notes mature later this month, and we intend to satisfy those initially through borrowings under our unsecured credit facility and then ultimately term that out by accessing the bond market again in the coming months. Our leverage levels remain quite conservative with net debt to EBITDA at 4.7x at quarter end. From a guidance perspective, we updated our full year expectations and underlying assumptions in our press release last evening. Highlights of the guidance changes include a $0.01 raise at the midpoint of our FFO per share as adjusted. On same-store revenue growth, we improved the midpoint of our guidance range. Our expense growth guidance range improved as well with a revised midpoint of 1.5% for the year. All of that translates into improved same-store NOI expectations for the year with a revised midpoint of negative 1.25%. Picking up on Chris' comments, we expect trends to continue to stabilize through the remainder of the year, putting us on better footing heading into 2026 than where we entered this year. Our guidance implies negative revenue growth in Q4, although acceleration from Q3 at the midpoint. While we're still not anticipating things snapping all the way back to normalized levels of growth quickly, we're seeing encouraging signs that are starting to flow through the portfolio. Thanks again for joining us on the call this morning. Happy Halloween. And at this time, Colby, let's open up the call for some questions.
Operator: [Operator Instructions] Your first question comes from the line of Samir Khanal with Bank of America.
Samir Khanal: Chris, I guess just how are you thinking about the balance between rate and occupancy right now in an environment where demand seems to be stable as you try to get that new customer in the door?
Christopher Marr: So ultimately, the systems are focusing in on maximizing the revenue from each customer and so trying to find that balance, and it varies by market. So when you think about those two levers, rate and occupancy, you have the elasticity of demand that one has to deal with. And so when we look at those markets that we would describe as having been solid for a while, kind of the rock stars in this part of the cycle where you're getting both rate and occupancy, I'd call out New York City, Washington, D.C. MSA, Chicago, then you have those markets that are stabilizing. So their rate and occupancy are moving in a good direction, albeit still perhaps down year-over-year. And those examples would be Miami and L.A., Los Angeles. And then those markets that are still trying to find their footing where, again, the systems every day are trying to navigate through that dynamic of new move-in customer rate versus occupancy and testing is the demand there at any price. And those would be the same markets we've talked about all year, Atlanta, Phoenix, Cape Coral, Charlotte, the sunbelt market. So really varies quite a lot by market as the systems try to find that balance.
Samir Khanal: And maybe as a follow-up here, I know you talked about move-in rates that were positive in the quarter, kind of the 2.5% better on rate versus occupancy. I mean can you provide some color around October as well, what were you seeing kind of trends in October?
Christopher Marr: Yes. So the occupancy gap to last year has contracted from the end of the third quarter as of yesterday, we're down 100 basis points from where we were at this point last year. And the average rent on rentals, that 2.5% that you quoted for the quarter in October is kind of in that 1.92% kind of range.
Operator: Your next question comes from the line of Nicholas Yulico from Scotiabank.
Viktor Fediv: This is Viktor Fediv on for Nick Yulico. On your last call, you said that most demand still comes from traditional search and you're working with your partners for Gemini integration. So what percentage of leads and bookings are now AI influenced today? And how does overall the cost per AI leads compared to traditional search engine leads so far?
Christopher Marr: Yes. The leads coming through the LLMs, which is primarily ChatGPT at this point for us are about less than 1%.
Viktor Fediv: Got it. And then you also mentioned last call that merchant builder exit [ waves ] is kind of coming to the market. And just trying to understand whether it has intensified recently? And what does it mean for you and kind of for your potential acquisition pool?
Christopher Marr: I'm sorry, I think we got a little bit more clarity on the question, if we could, merchant builder sellers?
Viktor Fediv: Yes, yes, sellers, yes, whether you can see now more of them or not really versus, for example, Q2?
Christopher Marr: Yes. No, I haven't really seen a change. Again, there's no and there typically isn't like significant duress in our sector. And so I think what you have is folks who may have opened a store in 2022, where they were underwriting cash flows based on the spectacular storage performance during COVID are clearly not meeting their pro formas. But I think what we're finding is everyone is just looking for ways to extend out and anticipate stabilizing trends and better times ahead and financial institutions for the most part, are cooperating.
Operator: Your next question comes from Todd Thomas with KeyBanc.
Todd Thomas: Chris, Tim, your comments about the improving trends and third quarter being the first period of higher move-in rents and it seems like that continued in October. Your guidance assumes an improving revenue growth trend in 4Q, albeit still negative. You mentioned that. But just your comments overall suggesting that, that trend of improving revenue growth, early sort of read into '26, is it fair to assume that you would expect, all else equal, that trend to continue from here, just given the 4% to 5% churn and the time it takes for that to translate to revenue growth? Is that how you're thinking about it at this point in the cycle?
Christopher Marr: Yes. As you think -- I mean, as you think about '26 macro, again, assuming the consumer health remains where it is, the economy continues to do okay, we would anticipate that the trend from Q3 to Q4 -- and again, we talked about in Q2 that Q3 had a little bit of an anomaly and that was going to create that decel from the prior quarter. But yes, that trend should continue. Again, do we inflect positive in same-store revenue growth? As we sit here today, yes. When might that occur? Again, as we sit here today, I would conservatively expect that's probably the back half of 2026.
Todd Thomas: Okay. And then some of your peers, I think, ran promotions are implemented, newer discounting strategies during the quarter. I was just wondering if you can speak to whether Cube participated or what discounting strategies might have been implemented during the peak season and how you're thinking about pricing, promotions and discounting in the off-peak season as occupancy typically pulls back a bit here.
Christopher Marr: Yes. So I guess there was some new vernacular introduced recently with this gross net kind of concept. The 2.5% gross move-in rate year-over-year growth that we saw is -- for us, it is also the net. We have not had any change in our discounting.
Todd Thomas: Okay. Are you changing your promotional offerings, though or changing your discount strategies at all?
Christopher Marr: No.
Operator: Your next question comes from the line of Juan Sanabria with BMO Capital Markets.
Juan Sanabria: Just on the acquisition side, a couple of your peers have become more aggressive, talking more -- about more opportunities or deal flow. Just curious what you're seeing and/or willingness or appetite to increase the external investments.
Timothy Martin: Thanks, Juan. I appreciate the question. I guess we have three stores under contract, so that's movement in the right direction. I think what we have seen and we've talked about here for the past several quarters is pretty consistent view from the buying side of the table as to what return thresholds look like. I don't think that's changed much at all. It hasn't for us. I don't think it's changed much for others either. I think the change is that the seller side of the equation has gotten a little bit more constructive from the buyer's perspective, and you're starting to see things move a little bit. I think you saw that from some of our peers. I think you see that from us with the three stores that we have under contract. So nothing -- I wouldn't say there's any earth-shattering move other than the market becomes a little bit more constructive as the gap between buyer and seller has shrunk to the point where you're starting to see some things get done.
Juan Sanabria: And then just as a follow-up, your rent per occupied square foot was strong in the quarter, up 2.4% quarter-over-quarter, flat year-over-year, better than peers. What do you think allowed you to push that in-place rate relative to the industry a bit stronger?
Christopher Marr: Yes. I think, again, you're just -- everybody's system, I assume, is trying to do the same thing, which is find that balance between the levels of demand that are out there for storage and then pricing to capture that customer as well as the marketing tools to capture that customer. I think some of it is portfolio construct. Again, where we are at this part of the cycle, our strategy and our quality focus, I think, is very helpful to our results. And then part of it actually is just sort of the normal seasonality that one would expect to see from Q2 into Q3.
Operator: Your next question comes from the line of Eric Wolfe with Citi.
Eric Wolfe: I think you said a moment ago that -- conservatively that same-store revenue might not turn positive until the back half of 2026. But I mean if you're already at 2% to 3% move-in rate growth, is there some reason to believe that, that stays there that you wouldn't just go to like 2% to 3% same-store revenue growth? Is there some kind of offset on the ECRI? I'm just trying to understand why if you're already at, call it, positive move-in rents today that it's going to take until the back half of 2026 to be positive on same-store revenue.
Christopher Marr: Yes. I mean not sarcastically, it's math. So we are in a business where 4% to 5% of our existing customers churn on a monthly basis. And so barring again some sort of change to the good on the demand side, again, which we don't foresee a catalyst for that. It just takes time. So you will just gradually see that slightly negative same-store revenue growth begin to move in a positive direction. And exactly when that crossover occurs, we're not providing guidance at this point, and we don't do quarterly guidance from a same-store perspective. But again, I think to be fair at this point in October 31, what I shared is kind of the conservative outlook at the moment.
Eric Wolfe: Got it. And then I guess to the move-in rents that you provide in [indiscernible] I mean does that include promotions? I'm probably asking because I'm just thinking through like if we continue to see just positive move-in rent growth, like, I don't know, say, 2% to 3% or 2% to 4%, does that eventually translate into, call it, 2% to 4% same-store revenue growth. I know occupancy obviously plays a factor to your point. But I guess I'm just wondering about the -- if you can really just kind of take these move-in rent growth and then assume you're going to get a similar ECRI component to it, then take that as a leading indicator of where same-store revenue growth is going? Or we're mistakenly not including promotions or not including something else into that calculation?
Timothy Martin: I'll jump in. If you think about the -- if you think about your premise there of 2% to 3%, 2% to 4% type year-over-year improvement in pricing, then -- and you held everything else constant, then ultimately, after, call it, 12 months when you've churned 5% of your portfolio each month at that type of churn, then eventually that's where you would get to. And then it would probably be helped a little bit then by some of those other factors. You probably get a little bit more out of your ECRIs, you probably get a little bit of occupancy if you're in that environment when you have -- if you have that type of pricing power, normal pricing power over a prolonged period of time. So back to Chris' point earlier here is it just takes time to flow through because it's 4% to 5% a month and it builds and builds and builds. So if you had that for a prolonged period of time, I think that's ultimately where you get to from a revenue growth perspective, plus or minus.
Eric Wolfe: And then does the move-in rents include promotions or is that like a separate calculation we should make, meaning that up -- I think it was up like mid-2s this quarter. Is that flat with promotion?
Christopher Marr: Yes. So that 2.5% is gross. And it for us is the same as the net because our promotions have not changed, the amount or the magnitude.
Operator: Your next question comes from the line of Michael Griffin with Evercore ISI.
Michael Griffin: Chris, maybe you can expand a bit on whether or not you've seen any changes in new customer behavior? I mean it seems like if you're able to raise these new customer rents, maybe there's less price sensitivity or customers shopping around. And I know it's always a topical point with storage, but any incremental homebuyer customers coming back? Or is it still -- they haven't really materialized yet?
Christopher Marr: Yes. I think what you're finding is you're just able to get rate in these markets that are not typically the homebuyer and seller movement market. So you're leading year-over-year improvement in rate to new customers, Manhattan, Queens, Brooklyn, Chicago, Washington, D.C. and then the laggards where you're just still trying to find your footing in terms of where is that balance and at what rate can you get that customer to convert continue to be Atlanta, Phoenix, Charlotte, some in Texas, some of the major Texas markets are moving in that direction as well. So it really is just market from our perspective, which then sort of ties into your question, which is its customer use case.
Michael Griffin: Appreciate the context...
Christopher Marr: Yes, I'm sorry, one last piece. And then ultimately, it's still -- when we talk about supply and those headwinds are diminishing across the portfolio, but that also varies pretty significantly by market. So not surprising, those sunbelt markets that, a, tended to rely historically on a little bit more of that homebuyer and seller are also the markets that continue to get deliveries. While deliveries overall are down, they are still occurring all too frequently in Atlanta, in Phoenix, in the West Coast of Florida.
Michael Griffin: So it's kind of a double whammy for those sunbelt markets, so to say?
Christopher Marr: Yes.
Michael Griffin: Great. And then maybe next, just on sort of the ECRIs and outlook there. I mean I realize that the rent roll downs, the move-in, move out is still pretty wide. But has your strategy changed there at all? Have customers become more sensitive to rate increases? Or are they typically still willing to accept them and you're able to push strategically where you can?
Christopher Marr: Yes. The customer health, which we continue to really focus in on, and again, varies by economic strata and parts of the country, generally across the portfolio continues to be very good, and we have not seen any change in customer behavior as it relates to ECRIs and our overall approach has been consistent throughout 2025.
Operator: Your next question comes from the line of Ravi Vaidya with Mizuho.
Ravi Vaidya: I wanted to ask for the third-party management business. I saw a couple of stores came off on a net basis. Is there something that looking ahead, should we expect this to increase again? Or maybe who are some of the new private operators that you're partnering with? And how can that be used as a hedge for higher supply?
Timothy Martin: Yes, I appreciate the question. So on our third-party management program, we talk about the stores that we add to the platform because that's ultimately what we control. That's our new business, the development team is looking for opportunities to add owners, to add stores to the platform. This year, we have exceeded adding 130 stores for the eighth consecutive -- at least 130 stores a year for the eighth consecutive year. So that part of the business remains healthy. The part that is very difficult to predict is when stores are going to leave the platform. And part of this year, when you have that churn, part of this year's churn was self-inflicted earlier in the year when we bought 28 stores that were in that third-party managed bucket. You just have a lot of stores that are -- leave the platform most often. That is because they have transacted, they have sold to somebody that either self-manages or has a different relationship. And so trying to predict the net growth in the store count on the 3PM platform is an impossible task. So we control what we can control. And we look -- when stores leave the platform, we've talked about in the past, we feel like it's job well done. We've helped that owner create the value. We've stabilized and improved performance. And in most cases, we set them up to achieve their desired results as they transact and sell the asset to someone else.
Operator: Your next question comes from the line of Spenser Glimcher from Green Street.
Spenser Allaway: Maybe just going back to the acquisition front. Are there certain markets or geographies that you guys are more comfortable underwriting just due to greater stabilization of fundamentals? And then on the flip side, are there any markets that are sort of redlined right now just because there's still too much operational uncertainty maybe outside of the obvious supply-heavy markets?
Timothy Martin: Yes. I mean just the nuance response is we're comfortable underwriting everywhere. I think embedded in our underwriting are obviously going to be different risk hurdles based on some of those characteristics that you would refer to. Perhaps the best deal that we can find right now would be in a market that's more challenged because others don't see maybe what we see. And so we don't have a bias necessarily to blacklist a particular market because of supply as an example or some other criteria. But what we would do in that standpoint is to make sure that from a risk-adjusted standpoint, we're getting paid to take on that uncertainty. So those markets create more challenge from an underwriting standpoint to try to look at where rates are today, perhaps and where rates might be in a year or 2. It is a challenging but not impossible underwrite when you have a store in particular because it's such a micro market business, when you have a store that's competing against new supply to be able to have confidence in your ability to project where rates in that small market are going to stabilize once that new supply leases up is a challenge. It's the fun part of the investment team and what they do because those deals that have a little bit of hair on them are the most challenging, but also very interesting and perhaps the place that you can make a really nice risk-adjusted return. So we haven't -- we're not avoiding markets, but certainly considering all of those risk factors.
Spenser Allaway: Okay, yes, that's very helpful. And then can you just share what stabilized cap rates you guys are underwriting on the three assets that you're acquiring in 4Q?
Timothy Martin: Those three assets are a little bit of a mixed bag between stable and not stable. Going in, when you look across the three, we're going in, in the low 5s and stabilizing across the board fairly early on in year 2 or 3 at right around a 6% across the board for those three opportunities.
Operator: Your next question comes from Brendan Lynch from Barclays.
Brendan Lynch: New York City continues to perform quite well, and it continues to outperform other large markets in the Northeast. Maybe you can just kind of compare and contrast what is leading to that outperformance. Obviously, there's a lot of supply issues in the sunbelt, maybe it's the same in the Northeast. But just kind of any color that you can provide on New York relative to some of these other markets in the region?
Christopher Marr: Yes. So it's going to be partly what you just said. So again, the boroughs really nonexistent new supply impact. So you're really stable from that perspective. You have a more need-based customer. And then obviously, we have a very significant position there and one in which the asset quality is extremely high. So we just have everything in our favor in a market that in this part of the cycle is just doing very well. Other Northeast, Philadelphia, Boston, a little bit of a mixture there. You've got supply as opposed to the boroughs. And you have a little bit of more of a mix in the customer base. It's not quite sunbelt like, but you do have a little bit more of that mover, so to speak, than you might have in, say, the Bronx. So I think it's kind of a combination of those two things. And you see that similarly in urban Chicago, you see it in a few of the other urban markets.
Brendan Lynch: Great. And then maybe just sticking with New York City, you've got new development coming there. It's a relatively small investment. I think the $19 million. Maybe just talk about what would allow you to get more assertive or aggressive on development in the New York City area.
Timothy Martin: It's really looking for opportunities that have a -- that are located in a spot that would be complementary to our existing portfolio and frankly, would have a need from a demand standpoint for there to be new product. Obviously, it's not as easy to pencil out deals in the boroughs as it used to be because the tax incentives aren't there any longer. So surely, there are opportunities somewhere, but the fruit is pretty high up in the tree. And for us to find an opportunity, it's going to be something that we're pretty excited about.
Operator: Your next question comes from the line of Eric Luebchow from Wells Fargo.
Eric Luebchow: Can you comment a little bit on any trends you're seeing on your average length of stay? It seems like vacates have been kind of muted across the industry this year, obviously helps from a roll-down perspective, but perhaps takes a little bit longer for some of these better move-in rates to flow through the portfolio. So any commentary on that would be helpful.
Christopher Marr: Sure. When you think about those trends, I would macro say they're consistent, still elevated. So our customers who have been with us greater than a year, that's up 50 basis points year-over-year. And again, if you kind of compare it to pre-COVID, so third quarter of 2019, it's plus 260 basis points. And then those customers who have been with us greater than 2 years, which is about 40% of our customers, that's actually down year-over-year about 140 basis points, but again, up 50 basis points what we saw in 3Q '19. So continue to be pretty consistent, have come down a bit off of peak, but still elevated relative to historical metrics.
Eric Luebchow: I appreciate that. And I know you provided a little bit of directional commentary on '26, but just trying to take maybe more of the bull case. Obviously, if we get a housing catalyst, if we see a pickup in customer mobility, move-in rates continue to find stability, start growing. Do you think it's reasonable we could get back to more historical levels of growth by maybe the second half of next year, certainly into 2027 and then potentially even higher beyond that, especially given some of the supply delivery commentary. Just wanted to get your temperature on what you see over the next few years and not just into '26?
Christopher Marr: Yes. I do see that bull case as playing out the way you described. Again, it's sort of finding that catalyst for demand. And if that occurs, housing being the easiest thing to point at, we continue to have a healthy consumer. I think you then start to see consistent performance from those solid markets that we've experienced here over the last couple of quarters, those steady eddies continue. And then you're overall helped by the fact that the Charlottes and the Nashvilles, et cetera, of the world should rebound quite nicely. And I think we're well positioned from -- obviously, to get the rate. We've shown that we can do that through this cycle, increasingly more so over the last couple of months. And then on the occupancy side, then you get the pickup there as well. And to your point, you could see, and I would expect if those conditions were to occur, you would see more elevated performance.
Operator: Your next question comes from the line of Michael Mueller with JPMorgan.
Michael Mueller: I just go back to like development supply. I mean what's your gut feeling tell you about how quickly supply may come back in some of the markets as they improve over the next couple of years? I mean do you see a lot of competitive projects in -- near you where people are just kind of waiting for the right time to kick off? Or do you think you're going to have a little bit longer of a runway without meaningful supply?
Christopher Marr: Yes. I think that crystal ball is complicated and maybe a little fuzzy. So I think it will be slower. I think that you have a couple of factors. Again, we still have elevated cost, I think it will, to our point be a more gradual recovery in move-in rates. So you'll still have to see some progress there. And I think the developers, again, who have opened in '22 and are sort of trying to figure out how to hang on at this point, may not be likely to want to get back into it again until they deal with exiting the store that they have. And then ultimately, the primary lenders to the space for the developers, those local and regional banks have to be -- they continue to be constructive in terms of how they think about underwriting and how they think about providing that leverage. I think that should constrain things as well. So again, at least you look out through next year, probably at least the first half of '27, I think we'll continue to see some restraint. Again, there are -- the markets I've called out that appear to have no guardrails but I think we'll continue to see some constraint. And then if you just think practically, if it picks back up again, it takes 6 months to sort of get everything going and then another 12 months to build. So you're 18 months out from whenever that happens.
Operator: Your next question comes from the line of Michael Goldsmith with UBS.
Michael Goldsmith: Move-in rate was up 2.5% during the quarter, apparently, both on a gross and a net basis, but came down in October. So how did the move-in trend during the quarter? Did it peak in October? Or did it peak kind of earlier during the period? And is that how it normally plays out?
Christopher Marr: Yes. Move-in trend was historically normal. You see kind of that peak in July and then trends tend to sequentially start to slow down. But again, I think the message here is that the road is a bit windy. We've got markets that are continuing to move in a fairly straight line in an upward trajectory. And then there are markets, again, pick on the sunbelt where the road is a little bit more windy. So overall, I would say, kind of consistent with the last couple of years is what we've seen.
Michael Goldsmith: Got it. And you said on the call maybe a couple of times just really stabilizing trends and encouraging signs. By stabilizing trends, are you referring to same-store revenue growth and by encouraging signs, you're suggesting the move-in rate. Is that kind of what you're pointing to?
Christopher Marr: Yes. So again, the top line metric, same-store revenue growth will just kind of beat the drum again. It takes time for that to move given the relatively low churn in the customer base. So when we talk about stabilizing trends, we're talking about move-in rates and demand levels, which again, have been weaker than historical, but fairly consistent and occupancy. So it's more of the KPIs that are happening every day, which will then gradually bleed into the same-store revenue result, which will then gradually move that in a positive direction.
Michael Goldsmith: Port Chester looks great. Good luck in the fourth quarter.
Christopher Marr: Super excited about it.
Timothy Martin: We have units available if you'd like to get.
Operator: And with no further questions in queue, I'd like to turn the conference back over to Chris Marr for closing remarks.
Christopher Marr: Okay. Thank you, everybody, for participating. Again, stabilizing trends, encouraged by the direction overall that the portfolio is moving. Assuming these continue, we expect to be on improved footing heading into 2026. We look forward to seeing some of you at upcoming conferences. And next time we're on a quarterly call, we'll share our specific expectations for 2026. So thank you all. Happy Halloween.
Operator: This concludes today's conference call. You may now disconnect.